Roberto Cingolani: Dear all, nice to digitally meet you again today for the presentation of the third quarter of 2025. Before getting started with the numbers, I'd like to share with you some of the news. You have partly read something on the communicate. First, I'd like to introduce you on my right, Claudia Introvigne who will be the new chief of the Investor Relations. There will be a new direction at the direct report of the CEO for Investor Relations. So welcome, Claudia, and thank you for being here today, joining us today. On my left, of course, Alessandra. Alessandra today, there is an important announcement. Alessandra, for personal reason, will leave the Leonardo. She will be with us continuing today the presentation and the last things for the Q3. And of course, she will pass the -- most of the information for the balance sheet of next year and for -- closing of the budget. We already have a succession plan in place in the company. This is existing since a long time. So there will be no break even for 1 second. And I thank you very much, Alessandra, for giving this availability to give total continuity to the business and to the operations. And of course, I want to thank Alessandra heartfully because she really did a great job with us, and thank you for staying with us and also helping us in closing this very dense period of work. So we go now to the numbers of the third quarter. And then, of course, as usual, Alessandra will give most of the information concerning the division and the KPI -- the financial KPIs and then the question and answer. Thank you, and I go to the Board now. Okay. Here we go, as usual, with our lead wall. The quarter 3 of 2025 turned out to be particularly good. As you've seen -- you can see here from the numbers, the new orders year-over-year are growing by 24.3%, reaching -- passing the threshold of EUR 18 billion at month 9 of 2025. On the same footing, we have an increase in revenues in the range of 12.4%. So we are reaching this month, EUR 13.4 billion. The EBITDA is growing by 22.7%, reaching EUR 945 million. I remind you year-over-year last year, it was EUR 770 million. And return of sales is growing by 0.6 points. That is we reached 7%. Free operating cash flow is improving by 22.3%. That is very satisfactory for us. And the net debt is under control with a decrease of 25.9%. So those are the numbers that are characterizing our third trimester. As usual, Alessandra will give you much more information about the -- how this is shared by the different divisions and business units. But the highlights are reported in a very synthetic way in this slide. So in general, all divisions performed rather well. There is no -- there are no spikes in terms of geography or there is no killer product that jeopardize all the other performances. I would say performances are well distributed across the portfolio of products. About electronics, there is a solid order intake across all domains. The Eurofighter and the GCAP are performing well. I'll give you more information later. The Naval business with the frigates and also with the multiple purpose offshore patrol vessels are doing quite well for Indonesia in this specific case. Land defense, particularly with the new contract with the Ministry of Defense is growing as expected. DRS is also showing a good performance actually, a strong performance, especially on electric power and propulsion technologies. And this is -- this class of products has to do with the Columbia Class programme, which is one of the leading program of DRS. Concerning helicopters, there is a rather solid order intake across all regions. This is driven primarily by defense and governmental customers and the offshore sectors. They are both very well distributed, strong revenues across both platforms and services that you remember, I'm sure, helicopters are growing in services continuously. Aircraft is doing quite well, strong sales. Those are reflecting the Kuwait Air Force business. It's a jumbo order, EUR 2 billion plus. We cannot give more details, but it's a big one. On top of that, solid contribution from the GCAP. At the moment, we have in the range of a bit less than EUR 0.5 billion programs, which has been already funded. I'll give you more details later. And even the C-27J has been growing as a business with an order in the range of EUR 100 million. There is a lot of increase in the training services, not only the customers, we now have even the U.S. Air Force customers, but also the number of flight hours that have been delivered by the IFTS, the training school, that corresponds to something like EUR 90 million. So that's a very, very encouraging result in terms of training services. Last but not least, the 345, the small trainer aircraft is finally in the phase of having a syllabus at the Italian Air Force bases. So this is now going to be an operating machine. Aerostructure, in this -- in the area of Aerostructure, we are satisfied because we confirm the rate of increase from 5 to 7 fuselages in Q2. And moving towards 8, I'm sure you remember that we -- the plan we are making together with the potential partner for the creation of a new joint venture is based on a progressive improvement of the situation, which is actually in line with our forecast at the moment. I will give you more information about the aerostructure situation later on during the presentation. On top of that, I should add that the Airbus 2020 rear fuselage contract has been awarded. So we now are double source for those components for our colleagues in Airbus as well as the NEMESI optimization program for manufacturing has delivered the first fuselage of ATR. That's an important result because it took a bit of time to optimize the manufacturing. Now we're happy with what we have. Cyber is undergoing a strong growth. I mean numbers of cyber are extremely interesting, thanks also to the inorganic growth program, the acquisition of the Zero Trust Technologies. So at the moment, the secure digital transformation program is running very well with the governmental and defense customers. There is a strong acceleration in the business with the European institution like European Commission, eu-LISA and the European Space Agency. And finally, the cleaning of the product portfolio and the production of new products that are proprietary of our division is clearly impacting on the improved profitability of the division. We are very satisfied of this trend at the moment. Finally, concerning space, there is a strong order performance across the service market, including earth observation both in Italy and for export. And I should say that our new activity related to the earth observation constellation is growing fast. We inaugurated recently our facility together with our colleagues in Thales, the facility in Rome for the fabrication of satellites. And we are now starting the construction of the constellation and also the contact with other important countries that are interested in investing in new constellations. Before going to the technology news and the product news, I'd like to comfort all of you about the tariffs. You remember there were a bit of doubts at the beginning, what could have been the impact of tariffs on our business in the American market. I'm sure you remember that the preliminary evaluation was that tariffs would have impacted on less than 5% of the global market we have in U.S. So we expected something in the range of EUR 20 million as an actual impact. Now fortunately, the US-EU trade deal has been officially implemented and now is exempting the civil aeronautic sectors and also the components for the civil aeronautics and even the helicopters. As a matter of fact, at this point, we expect a clawback for the September cash out of approximately EUR 2 million. This is actually no longer a complex issue. We don't have to go to the court. It's something we do with the form fit basically. And we are starting now the potential clawback for the cash out that has been done before the trade deal implementation. So I can say safely that with this piece of information, we can consider right now with the situation that we have at the moment, we can consider the tariff issue as a marginal one, I would say, even closed. We don't expect any surprise under the present conditions. Update about the efficiency plan. This is running exactly as agreed. We are on schedule. As already reported in the previous quarters, most of the savings come from the procurements, primarily great attention in the procurement, but also renegotiation of long-term contract. And this renegotiation is fundamental to keep under control the prices and of course, the mitigation of the inflation. At the moment, we are approximately at target. We were planning to have a saving in the range of EUR 20 million to EUR [ 30 ] million in 2025. We are very close to this value. And apparently, the trend, which is you can see here with the green dots, this is the actual trend, is very close, slightly better than the expected trend, which is the pink line. So no news from this point of view. I think the machine is well started. People are very committed. So we will continue informing you about those numbers, but I think there's no surprise because the technology for the implementation saving plan seem to be operating very well. Now let's go to the description of the large-scale initiatives. As you remember, at the last quarter presentation, I told you that was -- that started as inorganic growth, but now most of this is becoming organic growth because it's now in our -- it's incorporated in the plan of the company and a lot of work is running. I will go analytically one-by-one through the different initiatives. Let's start with the Leonardo Rheinmetall Military Vehicles. You remember very well that in this specific initiative, we -- the execution means that we have to integrate payloads, weapons and turrets on existing machines to see motors, transmissions. So basically, the challenge here is to have a very efficient integration of top-notch electronics, weapons, control systems and top-notch military carriage technologies. At the moment, commercial and operational actions are underway because we have to secure that the delivery, which is for the first period is shown here is respected. Actually, we already secured a contract for the Advanced Infantry Combat systems, which are those smaller with smaller gas, but multipurpose. And right now, we have -- already EUR 400 million have been allocated on the AICS and another EUR 350 million program is supposed to be launched very soon, the second phase of the program. So we are starting the real business. Five of those machines will be delivered by the end of the year. In the meantime, we are all working on the MBT. It is more complicated, of course. The chassis has to be prepared, and we have to start the system integration on the Main Battle Tank, which will come later compared to the AICS. As you see from the plot, the red is the AICS and the blue will be the MBT. Now the peak of the red start rising earlier, whereas for the Main Battle Tank, we expect the first prototype between '29 and 2030. But anyway, we are on track. We are working with our partners in Rheinmetall. And I would say the team is really attuned and committed to results. At the moment, I don't have anything -- any danger or any, how to say, uncompleted part to communicate. The program is running well. On the same footing, I can tell you more about GCAP. Now in the scenario in which the competitors like those in U.S. or like those in Europe seem to be -- seem to progress very slowly if they are progressing. GCAP is really now up and running. The Edgewing organization, which is actually the top company that coordinates the activity of the NatCo, has currently reached 180 people. The target is going to be something like between [ 20, 2050, ] so it's almost completed. The ramp-up is progressing very well. And also new governance and operational procedures are in place. So the Edgewing mother company in the GCAP is actually almost ready, fully operative. In the meantime, we have launched the consortium that involves Leonardo, Mitsubishi and others to deliver the next-gen of ISANKE, so the integrated sensing and non-kinetic effect electronics and Integrated Communication System, ICS. Those are essentially fundamental, crucial elements of the GCAP architectures. They represent the heart of the communication and control. And now we are working to the delivery of the next-generation technology for the ISANKE and ICS. On top of that, I should say that at NatCo level, so now I'm dealing with the NatCo connected to the Italian funding of the GCAP, quite a substantial budget has been secured at the moment. We are EUR 1 billion plus. And this is being used -- this is by the end of the year. It's being used to cover the national technology program that should essentially incorporate high-performance computing and AI technologies into the building blocks of the future GCAP architecture. The concept and the assessment phase for the Adjunct, the Adjunct is simply a fighter drone that could be universal, controlled by GCAP or by any other sixth-generation fighter. And finally, the working environment and the digital infrastructure that will control all the components of the system of systems. So this is now initiated at NatCo level with our domestic funding, and our engineers, our teams are already working on the development of those components. Now last but not least, there is also another good news from this point of view. GIGO, which is the governmental structure on top of the GCAP is now discussing and negotiating the first international contract that will be provided to the Edgewing and the Edgewing with that money will boost the activity of the three NatCo. This is going to be not only national activity, but coordinated sovereign national activity of the GCAP consortium, having to do primarily with the platform and so on and so forth. So apparently, the GCAP machine is moving. The company is up and running. And I think if we work seriously, and we're all committed in getting the results on time. I think our GCAP road map will grow properly. And that's very important because apparently, our competitors at the moment are slowing down for different reasons. Let me go now to the third initiative. This has to do with the Baykar and Leonardo collaboration, the LBAs, Leonardo Baykar Advanced Systems. So what are we doing now? We are working, first of all, with the regulatory -- for the regulatory approval because we are making a sovereign national joint alliance. And this, of course, needs several regulatory approval, not only antitrust, but also authorization, certification. So we do need a lot of work to make sure that those machines can fly because, as you know, in most war combat area, war scenarios, drones are not certificated. But now we are thinking to an industry that massively produce machines of different payload, different size, and we want to have machines that are certificated and can be sold everywhere in the world, not only in Europe. In the meantime, we are progressing in the integration of payloads and platforms. Now let me show you a bit more in detail, I'll just expand the plot here. This is the industrial plan. So I start with Ronchi dei Legionari, our plant in -- close to Trieste in Northeast. This is the Leonardo plant that originally was involved in drone fabrication and design. So here, we're going to assemble, make the final assembly of the TB3, which is one of the cash cow of this category of machines. And in the meantime, we're also recovering, improving the Mirach, which is a Leonardo platform actually. It's in the range of 200 kilos with a payload of approximately 50 kilos, which is a lot for a machine like this. It's pretty much like a missile more than a standard drone. And this will be assembled in our Ronchi dei Legionari plant. So integration of electronics, payload, sensors, weaponization will be done there, starting from these two platforms. In Genoa, close to Genoa, Villanova d'Albenga, we're going to make the final assembly of TB2 and Akinci. Akinci is the bigger machine, 22 meters wingspan. They have quite a big payload, and those machines will be assembled there. Meanwhile, in Torino, where we do have a lot of aircraft activity, aviation activity, we have all the engineering and certification activities, which are crucial for the future expansion of this market. In Rome, now in our plant -- in the electronic plant in Rome, we're now -- where we did our roadshow 2 years ago, we are now developing in the new multi-domain facility, all the technology that are needed to control, to govern the multi-domain situations that involve drones. And finally, in Grottaglie, which is our plant for aircraft, civil aircraft, carbon compounds and so on and so forth, we're going to make composite manufacturing and final assembly of the Kizilelma. The Kizilelma is the fighter. It's a real aircraft, something that looks like an aircraft. And this one actually is going to be our adjunct -- universal adjunct fighter that can be coupled to any machine as long as you can develop the electronic for the control. And this is, of course, what we do because this is one of our specialty. So now as you see, the geographical fingerprint of the drone activity is quite well organized at the moment. We are making all the necessary investment and upgrade of the production lines. We are working on the integration. And as soon as the regulatory issues will be fixed so that we are working daily with the authorities, including the Ministry of Defense, I believe that already next year, the first product will be delivered to the market. Let's go now to the Iveco Defense acquisition. Iveco Defense, of course, it's -- you know the story, it's quite recent. Now what are we doing with Iveco? This is a rather young initiative. 3 months ago, we completed the agreement. And now we are working on, first of all, regulatory approval that is quite very important at the moment. And of course, we are negotiating to ensure the deal closing. Now to be clear, Iveco Defense at the moment needs to fix a few important things. The first one is that the supply chain has to be guaranteed. Originally, Iveco had a sort of mixture of civil and military technologies. So some of the components were produced by the civil part of Iveco, and they were delivered like an internal supply chain delivered to the military part. Now, of course, we own -- we are supposed to own the defense Iveco part, but the civil part will go to another owner. So in collaboration with the government, we are working through the prescriptions in the Golden Power to make sure that this internal supply chain will be ensured for at least 1 decade under the same conditions. This is very important to have no interruption in the production pipeline. It doesn't seem to be a problem. There is maximum availability. And I have to say that this negotiation discussion is progressing very well. We don't see big obstacles, big hurdles. But anyway, it's something we have to fix supply chain first. Then a second thing which is very interesting is the technology of land drones. At the moment, we are studying together with our partners and colleagues, I should say, in Iveco, land drones that are ranging between 600 kilos and 2 tons. So those are land drones with trails, not on wheels, but can also be on wheels. And they can mount and transport different payloads. They have different functions. And of course, in the concept of the multi-domain interoperability, having land drones together with all the other manned machines, it's very appealing. So we -- there is a special focus now in our technical teams and commercial teams about the land rules. The third issue that we are developing, we're studying is that -- I'm sure you remember, originally, we were discussing with our partners, Rheinmetall, about the possibility to carve out the trucks as opposed to the armored vehicles. Actually, now that our teams are working together, we are studying all the perspectives. It is yet unclear because the due diligence is in progress, whether it's more convenient to keep things together or to carve out them. This is just industrial analysis. It depends on how much money you have to put to change to double, to split a line or so. But one thing is sure, the trucks that at the moment, Iveco can offer 6 x 6, 8 x 8, 10 x 10, 12 x 12 wheel traction can be very interesting for a number of applications, including the transportation of different weapons and different payloads, massive payloads. And so we are now analyzing also what kind of market openings we can have by combining different payloads, different GaNs or different missiles or radars with the different platforms for transportation. This is now under examination. We have to see -- basically, it's just an industrial analysis. We have to see whether it's more convenient to split, to double or to concentrate. It will depend, of course, on the financial and commercial analysis, which is in progress. But for sure, the more we work on the Iveco analysis, the more we are convinced that this is a very promising -- it was a very promising choice from the technology point of view. Needless to say that Iveco ensures the possibility to offer the same armored vehicles on trucks or on trades or on wheels. And this is a unique possibility now we have, depending on the market, we can offer wheeled machines or machines with trails or with trucks that can go in different ground and different combust scenarios, so you -- of course, you will be informed continuously about the evolution. I think we are online. We are on time on the -- for the closing of the deal that should be the first quarter, if I remember correctly, of 2026. So the teams are working continuously on this assessment. I go now towards Aerostructure. I know this is -- you're very much interested to the aerostructure issue. So let me tell you that the good -- very good thing is that we are really progressing according to the agenda. You remember in July, our counterpart, our partner -- potential partner approved our stand-alone plan and gave a very positive evaluation, financial and technical. Now it's the other way around. They are making their own stand-alone plan that should be complementary to ours to create synergies. They're working with our people. Basically, on a 2-week basis, we are at their place or they are at our place. There is a number of important things. I mean we -- of course, we are working on the deployment of the synergies that the merge of the two partners can make, and this is the most interesting part. At the moment, we have -- so the teams working in commercial and industrial synergies, this is done by a joint working group, which is quite consistent, quite big. We are working at the same time with the key stakeholder. Needless to say, we have to share our vision and the idea of this joint venture with our main customers, those for which we build the components. And this is already in progress and reaction seems to be interested. And then we are working on the joint venture governance and organization, which comes out of the industrial choice, but also on the sovereign national character of the initiative. There is a detailed joint venture implementation road map at the moment. To make a long story short because of the confidentiality constant given by our partners still very strong. They gave us a disclosure only to discuss with the key stakeholder, client suppliers basically. But to make the story short, we maintain our target to sign the partnership agreement by the end of the year. Of course, we are working very, very hard for closing this very complex negotiation. We believe we can keep at the end of the year as the target, and we will make a special session, information session, communication session to you guys, of course, not waiting for the first quarter of '26, that should be months after January. So the sooner, the better, as soon as we close, we call you and disclose everything. But as you can imagine from what I told you, after almost 1 year of work, clearly, there is a strong motivation, very strong motivation. And also, I have to say there is a strong interest by the governments of both partners. So that's an extra guarantee that we are on the right track. I can't say more, as you know, about that, but I inform you about the progress and you see -- and you can see that with this kind of progress, clearly, our partners really want to make things, want things to happen for real. Least but not last -- last but not least, capacity boost. Now, I -- we explained to you the concept of capacity boost in the last quarter. Now the capacity boost team and the external adviser and our dedicated team is now focusing on a number of specific actions. So let's go on the -- let's consider this column. Engineering is responsible for 30% to 40% of the extra workload, so millions and millions of hours that is necessary to improve the efficiency in production. Manufacturing is responsible for at least 10% to 15% of the extra workload necessary to improve our capability. And finally, supply chain is responsible for 10% to 20% of the total strategic supplier -- well, actually not responsible. In the space -- in the supply chain, we have identified 10% to 20% of the strategic suppliers, which are classified as critical, and this has to be addressed by the capacity boost. So those are the three pillars where we are moving. Now about the engineering, we are working essentially on engineering digitalization. So the infrastructure is fundamental because if -- the more we digitalize the engineering, the more efficient is the process. We have selected a few partners for engineering, optimizing the partnership to have basically more hours, less price and of course, more focused collaboration. And we are working a lot on talent attraction. That will be the first talent attraction campus in close to Napoli, where is Aerostructures, but this is now being extended to many other manufacturing areas and engineering areas of Leonardo. Just to let you know, within the industrial plan period, we plan to hire 17, 1-7, 17,000 people, partly replacing retirements, maybe 9,000 or so, but most of them are fresh brains. And of course, those fresh brains will be STEM primarily, and they're going to contribute to the efficiency of the engineering. Now in order to make a very good hiring program, we need to invest on talent attraction. And this is exactly what we are doing now, and our HR department is fully committed in developing this strategy. Second, manufacturing. Now because we want to reduce the inefficiency in manufacturing, that sometimes really impact on margins. We have now a number of case studies. In La Spezia, we are making a very strong analysis and improvement for the land platforms. This is crucial for the Rheinmetall program for the land defense program. We are investing in Cameri, in Caselle, in Venegono, which is a pilot experiment for helicopters. So in that case, we are really working on the divisional plans to improve manufacturing. That means many things, process engineering, rules, supply chain, warehouse organization. There is a lot to be done, and we are working full time on that. Finally, about the supply chain, we are working on the supply chain. There is a program for the supply chain. By the way, this is also supported by funds, not necessarily from Leonardo. We need to invest in our supply chain, not only financially, but also, for instance, moving productions of products that don't have big margins, but they can fill the capability of the supply chain. So we are really working in the optimization and distribution of workload with our most important supply chain representatives. Now last thing that I didn't mention before is a new program that we call mixing the blood. I mean this sounds a little bit like a one-time movie, but that's very important because recently, I've been in Washington, visiting our colleagues in DRS. And by the way, welcoming the new CEO, John Baylouny, that I think is starting in these days. And then we've been in London talking to our guys in the various plants that are distributed in the U.K. area. Now the point is that, I need much more integration, I need much more synergy. We cannot do sort of independent industrial plans because we belong to the same multinational company. There must be synergy. No problem at all in deciding that a company, DRS makes something, and we don't make it in U.K. or in Italy as long as this product is the best and also it's available to all the others in the Leonardo Galaxy, in the Leonardo family. So the mixing the blood program means that we will start soon in having top managers in U.K. from Italy, top managers from U.K. to Italy, being resident and working side-by-side with the others and also revisiting a little bit the synergy with DRS, which is very important because there are new areas where DRS is starting, for instance, space, for instance cyber where we can really benefit of each other. We can open much more market for DRS in Europe, and they can open much more market for Leonardo Europe in U.S. We have to exploit the synergy. Otherwise, we miss big opportunities and frankly speaking, big money. So the mixing blood program is basically a program performed, carried out by a team of HR strategy, operations in collaboration with the divisions and the plants because we have to accomplish this in the next 6 months. We have to improve a situation that at the moment gives fragmentation, zero synergy and ultimately loss of good opportunities. We will make also jump to see what is the situation in Poland. Most important is that when I was in U.K., I spoke to the Under Secretary of Defense, honorable [ Healey. ] I will meet him again in [ Naples, ] mid-November because we are trying to boost the collaboration with the U.K. government. We have a company -- we have a plant in Yeovil that is not getting industrial grants, public governmental grants from the U.K. government since 14 years. And you understand that in order to make sure that this plant is not only subsidized by Italian orders and technologies, we need to have more participation. So we are negotiating a bit more attention to our industrial presence there. Anyway, I can say, as I found good faith and good willingness by everybody, I'm sure we can make much better than in the past. This will be the commitment for the next few months. I just go now to the -- towards the conclusion, and I want to tell you a bit more about the future and the future has to do with the recent news that I'm sure you've heard. We've been working for more than a year, almost 1.5 years with our colleagues in Thales and Airbus for the creation of a giant. We signed this agreement with Airbus and Thales to create a key European player for space technologies. The new company is expected to be operational in 2027. We have about 1.5 years or so, maybe 1.5 years or 2 years to -- first of all, to face the antitrust situation and then to coordinate and develop the synergies. But most of the conceptual work has been done. We aim at creating a European space of space basically. Till then, Leonardo will work -- I mean, every company will work on its own. And of course, Leonardo and Thales within the Space Alliance. And we will try to do our best to provide -- to develop satellite constellation, promote end-to-end solutions like expected, like proposed by the industrial plan. However, we are all in the mindset that we have to converge, carve out those things, merge into a unified new company and work together. This is crucial from our point of view, in view of the multi-domain solutions in which space is a key pillar that would be necessary for integrating air defense and earth observation. So the Bromo company, which is this new company that we -- you have heard about, and we mentioned so far, mean to establish European space global player that can compete with the big players in U.S., China, very likely India and other emerging countries. We will be very careful not to jeopardize the PME, and the small medium enterprises, sorry, [ SME ] and the start-ups. But of course, we need at global level, a very competitive big machine. The governance structure in a simplified form, the Space alliance, Thales plus Leonardo is at 65%. Airbus is at 35%. Within the Space Alliance, as you see, Thales and Leonardo are equivalent, 32.5%. The JV will be based on five NatCo, Italy, France, Germany, Spain and U.K. This reflects the geographical fingerprint of the constituting companies. And there is a matrix where you have the six domains and five NatCos. And if you are sitting at the head of a NatCo, you will be responsible of the domain, which is relevant for that NatCo and all the activity will be done by the NatCo. The domains are earth observation, SatCom, navigation, exploration and science, equipment and ground operations. Now there's a lot to be done. But the very important thing is that in this -- in the idea that we have of Bromo, actually, the NatCo, they're going to have legal autonomy and profit and loss management, so they have a balance, so they are real companies. They have the responsibility for the sovereign decision of the government in dealing with security because we have -- of course, we have to consider that each country wants to have sovereign dominance of the security area. And of course, each NatCo, will be in charge of the supply chain to make sure the supply chain is boosted and not jeopardized. Anyway, this is now in a nutshell, what we will do with Bromo, we're going to work in the next, let's say, 18 months to making this thing happen for real. So the concept, the scheme is clear. Now we have to see how this will work in a very operative way. We need a lot of good managers, a lot of participation and goodwill to make this work, but it's going to be a very competitive company in the world if we make a good job. At the moment, the revenue profile is approximately EUR 6.5 billion with 25 people -- 25,000 people involved. And the synergy in a very conservative way, we expect easily EUR 0.5 billion synergies from scratch. Of course, we have much, much bigger opportunities. This is just to give you a very rough idea of day 1. The ambition is really high. I conclude because I want to wrap up what has been -- what has happened in the last 2.5 years. And what could be the Leonardo's architectural vision for the future. This has to do with the integrated air defense system that I'm sure you remember, I introduced you at the last quarter, that was my last slide when I introduced you the “Michelangelo Dome, this concept of air defense dome that should be customer-friendly, very flexible, adaptable to any effector, any missile, any weapon. So not a rigid system, but something which really makes the difference because it essentially takes advantage of all the strategic choices that Leonardo has been doing in these 3 years. Number one, creating a space division, launching the constellation and creating Bromo at European level, launching a large-scale initiative on drones. So cutting the edge and basically accelerating the drone technology. The GCAP for the sixth-generation fighter, which has been launched and as you've seen before, is up and running. The land defense boost given by the Rheinmetall-Leonardo collaboration, Iveco acquisition and so on and so forth. The strong investment on digital high-performance computing and artificial intelligence as a connect home of the entire company, which allow us to produce electronics, which is for command and control, combat systems, almost ubiquitous in all our platforms. We can do platforms for all domains, land, sea, space, air, sharing a concept electronics, which is meant to interoperate all the platforms in the multi-domain approach. And finally, the strong investment on cyber technologies, which has brought to a strong increase of our cyber technology capability and also of our cyber technology product. Now all these things should converge into something that takes advantage of the fact that Leonardo produces all kind of state-of-the-art radars from 30 kilometers to 1,000 kilometers, produces all kind of platforms, drone, land system, contribute to ships, sixth-generation fighter, all the ground systems, all the armored vehicle. We do -- we can do all platforms. We start now working with our constellation, but of course, Intercom with other constellations. So if you have all the ingredients, the problem now is the interoperability, to develop the proper electronics that makes it possible to enable any platform to enter in this sky dome and to neutralize any threat from 30 kilometers in that zone to 3,000 kilometers, no matter whether it is hypersonic or subsonic or whatever. I can't say more now, but I want to tell you that on November 26, we're going to present this program, the “Michelangelo Dome, the “Michelangelo program to our Ministry of Defense and all the military forces in Italy. And on November 27, we will present the “Michelangelo project to the market and to the most important stakeholder. So please save the date, you will get an invitation. The presentation will be done in detail at the multi-domain center that we created in the Tiburtina plant in -- close to Rome. For most of you attending the first roadshow when we -- 2 years ago, 2.5 years ago, we presented the industrial plan, you were there. So this will be the place. And I hope you will realize how the vision developed in this almost 3 years that was really making a new Leonardo, now will be transferred into the Leonardo of the Future, which is the interoperable multi-domain machines, multi-domain company that has to guarantee global security for any kind of threat. This is now the system of system evolution of the effort we did so far in Leonardo. I look forward to seeing you on the 27th in Rome, either by video or in presence, we will show how this will be deployed. Thank you very much for your attention. And now I'd like to give the stage to Alessandra, who as usual, will give you all the details about divisional activities and KPI -- financial KPI in a much more precise way than I'm able to do. Thank you very much for your attention, guys.
Alessandra Genco: Thank you, Roberto, and good afternoon, everybody. I'm very pleased to be talking you through how we have delivered another good quarter and so very solid 9-month results. We're continuing the positive trends that we saw earlier in the first half, especially in our main Defense and Security businesses. We're seeing new orders coming through at a good pace, and we're delivering off a record backlog of EUR 47 billion. This is driving higher volumes and solid double-digit top line growth and high double-digit operating profit growth and higher profitability. We have also delivered another quarter of improving free operating cash flow, and we are reducing net debt with disciplined capital allocation aimed at supporting growth while improving shareholder returns. We are on track on all our key metrics, and we're confirming the full year guidance that we have upgraded a few months ago in July. We see strong performance across all group KPIs with increased order intake, growing volumes and profitability. Let's now look at the key group KPIs. In the first 9 months, group new order intake was EUR 18.2 billion, an increase of 24% year-on-year. We have also seen strong commercial performance across Defense and Security in Electronics, Helicopters and especially Aeronautics with a very strong recent quarter, which includes the recently signed extension of the Kuwait Eurofighter multiyear support contract. This order intake is consistent with the upgraded guidance that we set out in July when we flagged potential large orders in the pipeline. Book-to-bill was 1.4x. We're seeing sustained demand all across Defense and Security and fast growth in areas like cybersecurity. Then group revenues grew 12.4% to EUR 13.4 billion. We have continued to see across all divisions the capability to deliver versus last year. By virtue of good visibility in our backlog, we see strong growth going forward. Plus, we have a strong capability and focus on program milestones and good support from the supply chain in general. And this has translated into higher EBITDA across the group, an increase of 23% to EUR 945 million with good performances across the group. Return on sales improved to 7%. And as we saw in the first half, we are proceeding at improving profit at almost twice the pace of revenue growth. And we have continued to strengthen our financial position. In the 9 months to September, we saw an improved free operating cash flow with a cash absorption of EUR 426 million versus an absorption of EUR 548 million last year. As at September, our group net debt was significantly lower at EUR 2.3 billion versus EUR 3.1 billion last year, in part because also of the proceeds of EUR 446 million from the sale of the underwater business, which we completed in January. In August, we received another credit rating upgrade from Fitch, and we're very proud of it. So a good first 9 months on track, and it underpins our confidence in our targets for the full year. Now let's go deeper into the results and performance at business level. Starting with Helicopters. We saw continued positive momentum supported by a good flow of business with progress on all programs as well as customer support. New order intake was EUR 4.9 billion in the 9 months, a good performance against a strong comparator for the previous year. Continued solid order intake on defense and governmental, including the AW249 program for the Italian Army, governmental orders in Malaysia, customer support orders from the U.K., MoD for its Merlin fleet and orders for the Italian military for ground-based pilot training systems and other logistics and follow-on orders also in the U.S. -- from the U.S. Air Force on the MH-139. Helicopter revenues increased to EUR 4.1 billion, up 13%, driven by increased activity on the AW family, the dual-use area as well as the good contribution of customer support and training. And this was all supported by good resilience in the supply chain. This is an element that Roberto stressed whose importance we can't absolutely under-evaluate. Leading -- all of these results have led to an EBITDA of EUR 320 million, up 18% with a slight improvement in return on sales, supported by consistent program delivery. So a good performance from Helicopters with strong demand across the business and good growth in revenue and EBITDA. Now moving on to Defense Electronics, which continues to perform very well across all segments, both geographically and across domains. Electronics Europe achieved good growth in orders, volumes and profitability. In the first 9 months, new order intake was EUR 4.9 billion, up 2.5% year-on-year, excluding the underwater contribution. And the book-to-bill was 1.4x. All of this is showing growth across all domains and especially in Defense Systems and good demand for the upgrade and renewal across a broad range of platforms. We saw additional orders for the MK2 radar for the U.K., Eurofighter Typhoons for our Royal Air Force customer as well as Defense Systems for the 16 Eurofighter for the Italian Air Force. And in the naval sector, the order for combat systems for the Indonesian Navy Patrol vessels. Electronics Europe revenues were up 13% at EUR 3.5 billion, reflecting higher volumes as we delivered off the growing backlog. EBITDA rose to EUR 450 million, an increase of 18% and return on sales increased to 12.8%. Contributions from strategic joint ventures were in line with expectations, and MBDA continues to perform well, thanks to a continuous flow of business and strong program margins. At the same time, as you have heard last week, Leonardo DRS has also reported a good 9-month performance, showing new order intake of EUR 2.8 billion, up year-over-year about 9% with continued broad-based customer demand across the business and especially for counter UAS, advanced infrared sensing, naval network computing and electric power and propulsion technologies. Revenue rose to EUR 2.3 billion, up 11.7% on the back of growing volumes. And EBITDA grew to EUR 217 million, up 15% with an increased return on sales of 9.4%. Moving on to cyber, Cyber & Security, where we see the first 9-month volumes and the profitability continuing to trending up significantly compared to last year. New orders were EUR 700 million, up almost 20%; revenues of EUR 532 million, up 19%; EBITDA EUR 41 million, up 86%, with return on sales rising from 4.9% to 7.7%. So continuing its positive trajectory with increasing profitability driven by higher volumes and product mix. Order intake included various orders for Italian public administration through the PSN fund for digitalization, the cloud infrastructures and the secure communication as well as new governmental orders in the U.K. and elsewhere. As we mentioned at the half year, we are now presenting the Aeronautics division. This reflects our role as a leading player in fixed wing aeronautics in both the military and civil sectors, with our Aircraft and Aerostructures units combined. And it also now includes our participation in the next-generation GCAP. You remember that the GCAP program was previously reported under the other activities. We're also developing our activities in unmanned aerial systems. You can see the aggregated Aeronautics division's high growth in orders and revenues, while the EBITDA fall reflects the losses in the first 9 months in Aerostructures and ATR. To make operating performance comparable, we are also setting out for you the KPIs for aircraft, now including GCAP and then for Aerostructures. You can see aircraft has been performing very strongly this year, especially with new order intake. After an excellent third quarter, new orders in the first 9 months have now grown to EUR 4.3 billion, well over double the previous year's level, benefiting from the follow-on logistics support contract for 5 years for the Kuwait Eurofighter program. We are also seeing orders coming from the GCAP program and export orders for the C-27J multi-roll aircraft, as Roberto mentioned at the beginning of his speech. Revenues have grown in the first 9 months to EUR 2.3 billion, up almost 16% on the back of higher volumes across military programs such as C-27J, GCAP and JSF. EBITDA grew to EUR 265 million and maintaining strong double-digit profitability. We have previously mentioned that now about 1/3 of the Aircraft division's revenues are coming from customer support. And that is representing an attractive margin and cash flow business, which also is showing how we have successfully been implementing the servitization strategy over the last few years, which was one of the pillar and is one of the pillars of our industrial plan. Now moving on to the civil side of Aeronautics. In Aerostructures, order intake in the first 9 months increased to just EUR 789 million, up on the previous year on the back of orders from Boeing. Revenues were $510 million and EBITDA losses rose slightly to $135 million, excluding ATR. As planned, we have just returned to a second shift per day in Aerostructures and are increasing production levels relative to the first half of the year when we were unwinding inventory, which, by the way, we continue to unwind. And this is leading to better underperformance -- under absorption of fixed cost and reduced losses in the second half. Our actions are taking effect to narrow the gap in line with the ramp-up by Boeing for the B787 to 7 ships per month. Separately, ATR's contribution in the 9 months was negative $34 million, with lower deliveries impacted mainly by supply chain constraints, which are currently being addressed. And we're now pleased to see more positive signs at ATR in terms of new order intake. Turning to Space. We have continued to see improving commercial performance and profitability. New orders were EUR 655 million, notably in Telespazio Satellite Systems and Operations and geoinformation segments, also leading to increasing revenues. The more positive EBITA contribution reflected the confirmed profitability of Telespazio and also partial recovery in TAS following the efficiency plans launched last year, which benefits mainly on the SG&A line with close attention on program deliveries. You've heard Roberto talk earlier about the exciting proposed combination of our space activities with those of Airbus and of Thales to create a leading European player in space. Our higher group EBITDA in the first 9 months also helped drive a better bottom line performance. EBIT grew to EUR 722 million, up 13.5% and the group net result grew to EUR 466 million versus EUR 364 million in the same period of 2024, with lower financial expenses in line with our reduced debt levels. The bottom line net result of EUR 735 million benefited from the capital gain recognized on the sale of underwater business to Fincantieri completed last January. We have also made continuous progress in improving our cash generation, which, as you know, for us, is one of the key highlights and key drivers of performance metrics. It is driven by robust performance on defense and governmental. And year-over-year, there is a reduced outflow with a cash absorption of EUR 426 million versus EUR 548 million in the last year 2024. This is reflecting our improving operating performance and higher EBITDA and the efforts we have been making to manage working capital and cash ins. You know that this is a key area of focus for us, and the culture of cash is being permeated within the company. We have full confidence in our 2025 free operating cash flow targets, which we have raised last July to a range of EUR 920 million to EUR 980 million. Then we continue to focus on executing on our disciplined financial strategy. And you can see how, over the last 3 years, we have achieved a very solid investment grade, receiving repeated upgrades in rating and in outlook. Most recently in the last few months, there have been 2 upgrades in our rating and 1 upgrade in our outlook. We remain fully committed to maintaining a very solid investment-grade status while supporting growth and improving shareholder returns. We also recently announced a successful renegotiation of our ESG-linked revolving credit facility. It was oversubscribed 3x, confirming the positive sentiment and the support that the market has for Leonardo. We also achieved a margin reduction of up to 30% and savings on financial charges. These improved terms reflect our stronger balance sheet and the solid investment grade we have achieved. We also are including new ESG indicators in the credit line, which are in line with the financial and sustainability strategy we have put forth. Let me finish with the confirmation of our full year guidance. You have seen in the period to September that we have continued our good start earlier in the year, and we are on track with our expectations. We continue to see clear momentum. And as such, we confirm the full year upgraded guidance, which we gave you in July. Our main businesses on the defense governmental side are delivering strongly in order intake, revenues, profitability and cash flow. We're seeing good demand for our core defense and security products, technologies and solutions with solid commercial performances across all divisions. New order intake has been very good and especially in the last quarter, and it gives us confidence. Orders are an indicator of the future. They are not linear, as you know, but overall, the trend is positive and a step up again this year. We're pleased with not just the level of orders, but also the quality. And as I said earlier, this order intake is consistent with the upgraded full year guidance we gave you of EUR 22.25 billion to EUR 22.75 billion when we flagged potential large orders in the pipeline. We're also confirming the full year guidance for revenues and EBITDA with top line revenues growth as we deliver from backlog and improved profitability and the full year free operating cash flow that we upgraded in July. So now to conclude, we are continuing to deliver well on track with a good performance across all key metrics. Thank you all, and I will now hand you over to the Q&A.
Claudia Introvigne: Thank you, Alessandra. Good afternoon to everybody also from my side. I think that it is now the time for the Q&A. We can use the remaining 20, 30 minutes for the Q&A session. So I leave the word to the operator, and you can open the line. Thank you.
Operator: [Operator Instructions] Our first question comes from Alessandro Pozzi with Mediobanca.
Alessandro Pozzi: And let me start by saying congratulations to Claudia for the new role, and I wish all the best to Alessandra. The first question on results, clearly, very strong set of numbers. The only issue here is that you haven't changed the guidance, and therefore, Q4 looks really low, especially when you -- the implied guidance for Q4 once you factor in the seasonal trends. And I was wondering how you feel about the guidance and the reason why perhaps you haven't upgraded the guidance, especially for order intake, which seems to be really strong in Q3 and also in light of the fact that there are probably new contracts that you will sign in Q4, very large, like the Turkish Eurofighter, the Germany Eurofighter contract, just to name a few. The second point I would like to discuss is Iveco Defense. I believe that you are doing an industrial analysis at the moment. And I don't know whether I understood correctly, but maybe the carve-out of the truck division of Iveco Defense is not on the table anymore or maybe it's perhaps. So I was wondering whether there is a chance whereby you end up with 100% of Iveco Defense. And maybe the last one, you mentioned synergies with DRS. Historically, it's been really difficult to create synergies between the European subsidiaries and U.S. subsidiaries. And I was wondering how do you think you will be able to improve that? And longer term, what's your view on your stake in DRS?
Roberto Cingolani: Yes. Thank you for the set of questions. Okay. I will be, at the very beginning, a bit qualitative. And then obviously, I will ask Alessandra maybe to point out a few aspects of my answer. To be frank, guys, at the last quarter, I had a discussion maybe because of my scientific background, but I like to have kind of algorithms or KPI that are giving us a guideline. I mean, of course, they are very flexible, but they give a criteria for us to make actions. For instance, I was wondering whether it makes sense that we update the guidance every quarter because there is an increase of 1%, 2% of the specific KPI. So I just proposed, but that was a very flexible proposal, okay, just to give a criteria, not because I would say it's not mandatory. It was just a proposal. Let's communicate a change of guidance when we expect, let's say, 10% increase on a specific KPI, which was the case. We might argue and discuss, I'm totally flexible, no ideology at all. If you think 10% is too high, we can make 5% or whatever. I was just trying to give to the team an idea that we have a target. If we go above that target, we changed the guidance. If we are below, even if we grow, maybe it's not so relevant to give a marginal change to the guidance. For instance, -- to be honest, I'm pretty sure, guys that we go well above EUR 19 billion. We already have EUR 19.2 billion or so for revenues, and we possibly break the roof of EUR 1 billion for the free operating cash flow, okay? I'm very confident this will happen. So in some sense, I would feel very confident to give you -- to propose you an upgrade in the guidance. But it's going to be 2%, 3% because we are growing, we are growing fast. We did a lot of work, and now I expect to grow rather continuously. Maybe there is no point to update the guidance every quarter. But with the same transparency and honesty that I told you in my premise, if you think it is better to update even a marginal increase 1%, 2%, we do it. We're not, how to say, hiding or protecting or acting in a conservative way. I'm sure we're going to pass the target this quarter or the next quarter, for sure. I wonder whether it is useful to anybody to give an upgrade of 2% or 2.5%. If you think so, we are ready to get the lesson and to do it. I mean, really, we are absolutely agnostic in this respect. So I know that it's a nonconventional way to answer. But as I said, I feel confident with the numbers. So at the end of the day, for us, it doesn't make any big difference if you say we correct the guidance every 3 months, plus 2%, plus 3%. We can do it. Or if you look at the single line algorithm, we don't disturb you if it is less than 10% or 7% or so. Now concerning Rheinmetall, as I tried to explain before, the due diligence in the industrial analysis is really very complicated now. So we know exactly what we could do in Iveco, for instance, splitting an internal supply chain line or doubling a production line in the plant. Now we have to see whether the investment to do it is worth to make it to carve out a specific part and maybe to sell this to our partners or we better keep all unified and anyway, having commercial agreements with our partners, which would have exactly the same result in the end of the day without a massive investment. We're going to make this analysis in the next weeks. There is a team of about 20 people, including advisers that are working with us. As soon as we are clear this with the numbers, of course, we will make a proposal. But to be honest, we cover both scenarios, 2/3, 1/3 or everything for Leonardo. There is no, how to say, financial problem for that. We are ready to both. We want to make the things which is more effective and requiring less investment. I think you had another question. Which one? Yes, synergy for DRS. Yes, what we conceived with our colleagues in DRS is to create a mixed team of top managers that from U.S. are staying in our place and from Leonardo, let's say, Europe, they move there to have a more -- a much closer interaction of people and of course, to update and align the industrial plan that DRS has made and of course, Leonardo has made and not always coincident or maybe sometimes overlapping with less synergy and more repetitions or overlaps. Now maybe some thought about the operation of the proxy can also be done. But this is one of the avenues we are discussing together. I mean we have a common aim to integrate more, to make more synergy, mixing the blood means mixing the people and also the product. And this is what we're going to study in the next 3 months. But by the end of the year, beginning of next year, we should have 1 or 2 scenarios to propose and develop. I hope I answered. And of course, Alessandro, if you want to say more...
Alessandra Genco: I think you have covered it all, Roberto.
Valeria Ricciotti: Okay. So we move to the next question.
Alessandro Pozzi: I also agree on raising the guidance only when you think you can beat by a certain amount. So again, raising -- changing guidance by 2% to 3% every quarter, maybe -- yes, I agree with you on the style. And also on the equity participation of Avio, maybe can you say something? You announced the sale of a 9% stake in Avio. What is the longer term?
Roberto Cingolani: So first of all, thank you for stressing the point of the guidance. I'm very relieved that you understand how flexible we were. There was no intention to do anything strange. It was just a basic thing to feel confident at some automatic decision system. So happy that you -- that is acceptable. But of course, always happy to receive suggestions and criticism because we are trying only to speed up the machine. Concerning Avio, so the point is the following. Avio has made an industrial plan, which moves the central mass of the company from launchers to, let's say, missiles and propulsion systems towards missiles, moving the business in United States progressively and somehow, how to say, seen by us in Leonardo, we were in Avio because our interest was 90% on launchers because we do the missiles with MBDA. So for us, it would be a nonsense to nurture 2 competing missiles activities in 2 companies that we control, we participate in, while losing the focus on launchers. So in a very collaborative spirit, we discussed with Avio that we are not interested in the augmentation of capital in this new initiative because that will be, first of all, for us, quite an amount of money to be invested to stay at 28% in a company that, however, is moving the business towards a direction which is competitive to what we already do with MBDA. So industrially, I don't think my Board and even you guys that are investing on us would understand the philosophy. Why are you duplicating something and losing the focus on launch that was the original idea, even though it was not very successful. But anyway, that was the idea. So we didn't want, however, to stop Avio because I think they have the right and they want to play their cards, obviously. So we said, of course, we agree on the augmentation of capital, but we don't participate directly. I mean, to be honest, this happened exactly the same with Hensoldt if you remember, a couple of years ago. So it was a very mild way to say, okay, we don't follow you, but we understand your reasons, okay? Now technically speaking, that meant not participating in the augmentation of the capital, but we had to sell the right of options [indiscernible] residual value. So in doing this, we collaborated with the group of the bank advisers, and they suggested something like selling a bit of shares and then using part of the income of the sale to resubscribe some of the share of Avio. This is not actually augmenting -- participating in the capital augmentation, but subscribing again, of course, brings us around 18%, 19%, which is the minimum participation Leonardo should have in Avio, not to abandon Avio because also the government wants to make sure that we still have some presence in -- not the government, the Minister of Finance, which is our main shareholders. There is some presence ensured in Avio for the -- at least for the beginning of the action. So we diluted from 28% to 18%, 19% or so. We monetized in an amount in the range of EUR 20 million to EUR 21 million or so, our rights. And now we are there, not making hurdles to have on one hand, but on the other hand, meaning that we cannot follow the plan towards the missiles in the United States. Now there are other companies that would be interested, for instance, MBDA and so, but we are discussing those things went very fast. So no one could take a decision. We were prudent, and we decided to follow this strategy. So in the end of the day, we get some cash. We diluted from 28% to 18% or so 18%, 19%. I don't remember the exact number, but we'll see in a few days. And then in a couple of weeks, we confirm we're going to resubscribe some of the shares to stay constantly at 18%, 19%. And then we will see how the market behaves and how the initiatives takes off. And of course, we wish the very best to Avio in the meantime to be successful with the new strategy.
Operator: The next question comes from Ross Law with Morgan Stanley.
Ross Law: Hope you can hear me. So 2 from me. The first is similar to Avio, but more specific to Hensoldt and your stake there and how you're thinking about that? And then the second one is just on the NHI deal with Norway. You flagged that your free cash flow guidance now includes the impact. Can you just confirm what the magnitude of that impact is? And does it all fall in Q4? And is this payment in line with your shareholding in NHI? Or is it slightly different?
Roberto Cingolani: Okay. For Norway, I'll leave the word to Alessandra because she closed fantastic of the deal. I will tell you a bit more about Hensoldt immediately after.
Alessandra Genco: Okay, Ross. So on the closing of the transaction with Norway, the cash outflow -- total cash outflow for Leonardo will be EUR 125 million, which is 41% the stake that Leonardo has in NHI of the settlement amount, EUR 305 million. The distribution from a timing standpoint of this outflow is mainly in '26. This year, we're going to have a negligible EUR 10 million to EUR 15 million payment, and the majority will be in 2026. Clearly, as you know, the closing of the transaction is a very positive event for us. This is a legacy contract, 20 years old. The risk has been -- from a court stance perspective, the risk has been tangible. We could have had a much worse outcome at the end of the day. So we really brought down the amount of exposure down to EUR 300 million of a consortium. So it's a really good outcome that we are satisfied with, and we are closing once for all the topic. Back to you, Roberto.
Roberto Cingolani: Yes. So Ross, about the Hensoldt. After the contact I had with my colleague, Oliver Dörre, the CEO of Hensoldt, we met a couple of times recently. So we are now studying what next. Of course, this has to be integrated into a very complex situation. On one hand, we have the extra funds from Europe, the SCAF program, ReArm Europe and so on and so forth. And on the other hand, we have the big boost that the German government is putting on defense, which means that they need the German companies to be really committed on the domestic programs. So I gave my complete availability to discuss any scenario with Hensoldt and eventually with the authorities on about -- what could be the best scenario for them and, of course, for Leonardo. So the discussion is in progress, very constructive, very friendly. Well, of course, we have to see how the Bazooka German program is deployed to understand what is the best solution for both of us. At the moment, however, the collaboration is ongoing on the legacy programs. The numbers are, okay, good, we cannot complain. I mean there is no red light anywhere. But in order to have a strategic choice made, we need to talk to our German colleagues when they have a clear planning of the situation. And at that point, we'll try to adapt our strategy to their strategy. In the end of the day, staying like this would not be bad. The point is, can we do better or can we do somewhere else something better? And this we will discuss with our colleagues as soon as they have a clear scenario in front of them.
Operator: And the next question comes from Martino De Ambroggi with Equita.
Martino De Ambroggi: I know the trend in orders is not linear. And you already talked about the guidance for the current year for sales and free cash flow, which may be better. I was wondering on the order intake, very strong in the 9 months. Q4 implicit in the guidance would mean at the lowest absolute value over the last 10 years in a much more favorable environment. So I was wondering specifically on order intake if there is the same conclusion that you mentioned on sales and free cash flow. And on Hensoldt, a follow-up on the previous question. When you talk about open to different opportunities and so on, does it include divestiture, either merger with other activities? So it's 100% every kind of possibility or I don't know, because you also mentioned if we stay as we are today, we are happy in any case.
Roberto Cingolani: Yes. I'll give it the word for the first question, then I will specify [ Borenzso. ]
Alessandra Genco: So Martino, on orders, you said it, orders are not linear. We are very pleased with what we have seen in the 9 months. And clearly, that's a very good outcome. And it's a performance that is also reflecting the jumbo order of the contract -- the [indiscernible] contract for customer support. So if you project into the full year, we confirm the guidance between EUR 22.250 billion and EUR 22.750 billion, and we feel very confident that we will hit that range.
Roberto Cingolani: Martino, about Hensoldt, so let's say so, but this is my personal interpretation, and I believe it's reasonable. I think we could consider as totally abandoning this idea, the original idea 6, 7 years ago because I was even not in Leonardo when they started that one day, Leonardo could be -- could own 51% of the share of Hensoldt because that was another -- before the war, before everything. And now I'm sure that the profile of Hensoldt is growing a lot and the strategy of the German government is very clear. I'm sure they don't want to leave the control by another company of an asset such as Hensoldt. So this, we can discard. 2 years ago or 3 years ago, could have been yet still the case, but for sure, not now. Now what can we do? We can, of course, create -- we can divest, obviously, getting out. But I mean, this must have -- from our point of view, divestiture is made because we make money to reinvest in something which is very strategic. We don't sell things to make money, and that's all. We sell because we want to have money for a strategic investment. We did a lot of work so far, actually, a lot of new initiatives. Now implementation is really the challenge. And even if you have infinite money and you buy infinite new things, then you have to make them profitable, to make them efficient. And this means find managers, proper organization, so on and so forth. So I wouldn't do anything that would create extra load, extra payload to our managerial activity and industrial activity, unless it's really crucial for the global security program, for the multi-domain interoperability program. I think we are very close to have all the elements, and I don't want to do things that could make the machine more difficult to drive. Having said this, let's see also what our German colleagues propose. There are potential synergies between Leonardo and Hensoldt that could be further studied and developed. And this is also one of the areas where our teams are discussing. But as I said, I think now the ball is in the field of the German partner for domestic political reasons, for strategic reasons. We are happy to contribute to the discussion, but we look forward to having indications by Hensoldt to see what could be also for them a good way to go. And in the end of the day, we are rather flexible. We don't see any red flag, any red light anywhere, as I said, because the program is running, we are doing things together. Margins and numbers are satisfactory. So for me, it's much more important to fix in a permanent way other loss-making situations, as you know. So in this respect, you find me rather relaxed and flexible. But we are discussing quite intensively any possible scenario.
Operator: And the next question comes from Gabriele Gambarova with Intesa Sanpaolo.
Gabriele Gambarova: The first one is on aircraft. You got this huge contract with Kuwait. And at the same time, I remind that during your, let's say, March business plan, you assumed that aircraft margins would go down by roughly 200 basis points starting from next year. So I was wondering if this Kuwait contract, jumbo one changes anything about this? Another question is on the U.K. Roberto, you mentioned [ Yeovil, ] the plant, and we know that there is this new medium helicopter program ongoing. You are the sole contender. I was wondering if something is moving there, if you have any update on this? And the third one is housekeeping -- just housekeeping on the below-the-line items you expect for 2025.
Roberto Cingolani: Okay. Will you go with this expectation for aircraft? And I go for Helicopters.
Alessandra Genco: Sure. So Gabriele, the margins on aircraft that we have projected factored in a portion of the contract and of the servitization strategy that we had in place. Having said that, as you know, the aircraft division has proved to deliver very strongly at top level margin systematically year-over-year. So I would say that in the context of the opportunity that we see throughout the fighter business being Eurofighter in export, being Eurofighter for the 4 core nations, the JSF, which is a continuous positive contributor to the overall volumes as well as the GCAP, we will have a consistently solid and top level profitability in the division.
Roberto Cingolani: So the question was the other one...
Alessandra Genco: The NMH in U.K.
Roberto Cingolani: Yes, the NMH in U.K. So Gabriele, look, the reason for me to go to U.K. and talk to the Secretary of Defense, Honorable Healey was just to make sure that things are coming and moving because there was a sequential delay of the decision point for the helicopter tender. And so we made clear that we are waiting. For us, time matters at this point. We cannot subsidize Yeovil forever. It's 14 years, 1-4, 14 years that we don't get any contract from the U.K. government. It's getting difficult for us to keep this big plant alive without institutional collaboration. I think the minister was very serious, very -- he's working on that. As I said, we will meet in Naple very soon. And our team, [ Clive Egans ] and team in U.K. are really working and kind of chasing the institution to see what happens. So I think we can be positive. But of course, we have to see what happens in the end. I mean those -- as you know, those are very complicated tenders, and there is a lot of political influence behind. And therefore, it's not simply an industrial issue. It's a kind of geopolitical issue. We want to see what happens. But of course, should this not happen, well, we should seriously consider why we keep a plant there for 15 years, not getting anything. So -- but this is part of the efficiency plan that we might consider in case things will not run properly. But I think we made a very clear statement, and we found a very collaborative and responsible answer. So let's see what happens in the next few weeks. The decision is made -- should be made by the end of the year. So we are really at the last mile, okay, we should not wait for long.
Alessandra Genco: Gabriele, on your last housekeeping point, the expectation for below the line, before the closure of the NH90 program, I would have responded to your question as approximately in line with 2024. I have to say that given this extraordinary item, which is accounting for EUR 125 million, we may be slightly above last year.
Operator: And our last question comes from Christophe Menard with Deutsche Bank.
Christophe Menard: The first one is on the NH settlement. What is the impact, I mean, on the 2026 free cash flow guidance? You're obviously spending EUR 125 million or I mean that's the -- I mean, a little bit less than this, but what is the impact on what you guided? The second question is on capacity boost. Can you also remind us the free cash flow impact that it could have, if any, in the coming years? And the last question is on the [ Christophe ] project. I was wondering how it actually fits with the European Sky Shield initiative. What is the plan or strategic plan to insert it within ESSI? And also my best wishes to Alessandra.
Alessandra Genco: Thank you, Christophe, for your well wishes. And let's start answering your question on NH90 settlement and impact on next year free cash flow. What I can tell you is that we will work our hardest to compensate that outflow with other inflows and maintain the outlook that we have provided last year. Clearly, this is a cycling -- budgeting cycling process, which has just started, and we will keep you posted. But the goal for us as management team is to not have a negative impact next year from this settlement.
Roberto Cingolani: Okay. Christophe, concerning the capacity boost, let me remind the main motivation for the capacity boost is that we know already that with the exponential growth of demand that we're going to have in drones, aircraft, land defense systems, we soon are going to meet a bottleneck in our production capability. So before telling you what is the expected amount of -- the expected improvement in terms of cash, I want to fix the main problem, which is we need to deliver, for instance, in the case of land defense, 1,250 heavy armored vehicles, approximately 250 main metal tanks and approximately 1,000 advanced [indiscernible] combat vehicles. And we don't have the capability right now to deliver because we need a strong efficiency in our production capacity. So somehow, the -- how to say, the revenue or the money that we can get, it's a consequence of the fact that we can deliver more. And we don't deliver -- if we don't deliver, of course, we don't earn money. So that was the first motivation. And so it's a kind of indirect analysis we can do. But if you consider that we have about $20 billion program -- more than $20 billion program in 10 years for the land defense. That's an example, but I could tell you the same for GCAP for other things. You divide by 2, us and Rheinmetall, and you can see that the margin can be 15%, okay, you easily get how much money we can earn if we are able to deliver. If we don't deliver, this money is not taken. The second point is that we are facing something like -- I don't remember exactly, but we are talking millions and millions of offload engineering hours. And this is a cost. It's a net cost that goes against the marginal -- the margins of our manufacturing. Of course, in order to satisfy the demand, if you have to pay 10 million, 11 million, 15 million of engineering hours, you're going to pay that. And this is going to be a reduction in the margin. So reducing the number of hours of offload that we buy, it immediately turns into margins and of course, into euro or dollars or whatever. So we are not able to make the calculation now because we are trying to cut this 30% to 40% extra workload in the engineering, 10% to 15% extra workload in manufacturing. And if we manage, then we can give you an equivalent in euro. But clearly, the algorithm is very simple. The point is to act in a way that we can make the capacity boost. In terms of investment because, of course, you could ask, okay, but you have to put money on the plants to make them more efficient. Obviously, we invest in the optimization of manufacturing as long as the investment is below the expected gain in 2, 3 years in the budget plan. This is exactly what we're doing now, and it seems to be very effective as a model. So sorry for not giving you a number, but those are big numbers, to be clear. There was any other question? Yes, Michelangelo. Sorry, Christophe, I would like to ask you, can you repeat the question? Because you said how do you integrate your Michelangelo -- don't mean something, but I didn't understand the acronym. What did you say exactly?
Christophe Menard: Yes. Yes, I was hinting at the European Sky Shield initiative that Germany sponsored, which is a multilayer defense system.
Roberto Cingolani: Okay. Sorry, I didn't understand. Yes. So we do have a product portfolio of approximately 150 components in electronics, radar, sensors, effectors mounted on land defense systems, vessels, aircraft, helicopters, and we built our own constellation. These things are already on the portfolio. So I'm talking about the largest integration program ever in the defense industry, but we do have all the components. I don't think anybody else has the portfolio ready. So one thing is to say, I would like to do this. One thing is to say, I have these components, I want to integrate them. So I'm not able to compare because I know what I have, but I'm not aware of what they have. But for sure, they don't have all the platforms and all the components. So I think they are a little bit -- if I remember correctly, they made a statement that we candidate ourselves to drive the design of the air defense system. Fine. It's a candidature. What I'm going to present is a product.
Christophe Menard: Yes. Looking forward to the presentation.
Roberto Cingolani: Sure. We'll be happy to give all the details as long as we can disclose everything, but it will be very clear.
Claudia Introvigne: Okay. I think we are to the end of our presentation. Thank you for your participation. And I leave the last word to Alessandra.
Alessandra Genco: Thank you. Thank you, Claudia. And let me make -- let me say a few words here. Our journey together started exactly 8 years ago in November 2017. These 8 years have been phenomenal, extremely intense and Leonardo throughout this time frame has become bigger, stronger, more profitable and more cash flow generative. I thank Roberto for this great time we spent together, and I thank you all for the fantastic journey that we have done together. And I'm confident that Leonardo will continue to do great in the future. I look forward to crossing path again with each and every one of you in our future.
Roberto Cingolani: We will, for sure.